Operator: Greetings, and welcome to the Federated Hermes, Inc. Second Quarter 2025 Analyst Call and Webcast. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Mr. Raymond Hanley. Sir, the floor is yours.
Raymond J. Hanley: Hello, and welcome to our call. Leading today's call will be Chris Donahue, CEO and President of Federated Hermes; and Tom Donahue, Chief Financial Officer. Joining us for the Q&A are Saker Nusseibeh, who is the CEO of Federated Hermes Limited; and Debbie Cunningham, the Chief Investment Officer for Money Markets. During today's call, we may make forward-looking statements, and we want to note that Federated Hermes' actual results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given as to future results, and Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
John Christopher Donahue: Thank you, Ray, and good morning. I will review Federated Hermes' business performance, and Tom will comment on our financial results. We ended Q2 with record assets under management of $846 billion, led by gains from our equity strategies. Equity assets increased by $8.1 billion or 10% from the prior quarter. Second quarter equity net sales of $1.8 billion represent an organic growth rate of just under 9%. Our MDT fundamental quant strategies produced solid sales results again in the second quarter. MDT equity strategies had net sales of $3.8 billion in the second quarter, up from $3.3 billion in the first quarter. For Q3 through July 25, these strategies have had net sales in combined funds and SMAs of $730 million. Seven of the 8 MDT equity mutual fund strategies are in the top performance quartile of their Morningstar categories for the trailing 3 years ended June 30. Four of these strategies are in the top decile. The second quarter saw further improvement in flows from strategic value dividend strategies. These strategies had second quarter net sales of $344 million compared to $131 million in the prior quarter. And this includes the funds the SMA and the Institutional separate accounts under these strategies. We had net sales in 19 equity fund strategies during the second quarter, including a variety of the MDT offerings and including the Asia ex-Japan Fund. MDT's offerings included, by highlight, MDT Mid Cap Growth, MDT Mid Cap Collective and the All Cap Core. Looking at our equity fund performance at the end of the second quarter and using Morningstar data for the trailing 3 years, 56% of our equity funds were beating peers and 26% were in the top quartile of their category. For Q3 through 7/25, combined equity funds and SMAs had net sales of $480 million. Now turning to fixed income. Assets decreased by about $800 million or 1% in the second quarter from the prior quarter due mainly to net redemptions of $2.4 billion, partially offset by higher market valuations and FX of $1.6 billion. Redemptions included about $1.5 billion from 2 large public entities that have regular sizable inflows and outflows. We had 15 fixed income funds with net sales in the second quarter, including the conservative Microshort Fund and the Total Return Bond Fund ETF. Regarding performance at the end of the second quarter and using Morningstar data for the trailing 3 years, 46% of our fixed income funds were beating peers and 21% were in the top quartile of their category. For Q3 through 7/25, combined fixed income and SMAs had net sales of $47 million. In the alternative private markets category, assets increased by $1.3 billion or 7% in the second quarter due mainly to the impact of FX rates, which was $1.1 billion and net sales of $231 million, mostly in the MDT Market Neutral Fund. Now we are in the market, as I've said in previous calls, with European Direct Lending III, the third vintage of our European direct lending fund. To date, we've closed on $450 million. Target raise is $750 million. And EDL I raised $300 million, EDL II raised $640 million. We're also in the market with a global private equity co-invest fund, which is the sixth vintage of the PEC series. Our first close in April was for about $114 million. The target raise is $500 million. And PEC, P-E-C, I to V raised approximately $400 million to $600 million in each fund. The Federated Hermes GPE Innovation Fund II, the second vintage of our Pan-European Growth Private Equity Innovation fund is in the market. To date, we've closed on $110 million with a target raise of $300 million and the first vehicle raised $240 million. We're also in the market with the European Real Estate Debt Fund, a new pooled European debt fund. Our marketing is [ here ] in 2025, and our target is $300 million. Early in the second quarter, we completed the acquisition of a majority interest in Rivington Energy Management Limited, a U.K. renewable energy company. The acquisition enhances our Private Markets platform by adding project development expertise and specialist energy transition sector experience to our institutional investment and asset management capabilities in the infrastructure asset class. We are actively working on product development plans with the Rivington team. Across our long-term investment platform, we began Q3 with about $1 billion in net institutional mandates yet to fund in both funds and separate accounts. Fixed income expected net additions totaled about 4 -- about $545 million with wins in multi-sector, high yield and active cash. Approximately $439 million of total wins are expected to come into Private Markets strategies. We have approximately $1.6 billion in wins yet to fund, mostly in direct lending, private equity and trade finance, partially offset by $1.2 billion in redemptions from the restructuring of our U.K. Property Trust, which will occur in the third quarter. We have managed this particular fund for decades, and it has delivered solid performance to our investors. The restructuring and transition of the fund to a third-party is a result of changing market demand for such products. It is being done in collaboration with our investors and with the goal of providing them liquidity options to suit their preferences as expressed in their recent voting. The wins in this area are obviously in direct lending and private equity and trade finance. Equities expected additions totaled about $59 million, driven by MDT and some -- offset by some outflows. Moving on to money markets. We reached another record high at the end of Q2 for money market fund assets, which increased by $3.1 billion to reach $468 billion. These assets moved higher in the second quarter despite seasonal factors that often result in lower assets. Money market separate accounts decreased by $5.9 billion, reflecting usual seasonal patterns. Market conditions remained favorable for cash as an asset class. In addition to the appeal of relative safety in periods of volatility, money market strategies present opportunities to earn attractive yields compared to alternatives such as bank deposits and direct investments in T-bills and commercial paper. We are actively participating in the development of tokenized money market funds and digital asset infrastructure and continue to rigorously explore opportunities ranging from tokenized share classes to offering fully digitized assets. Over the past several years, we have engaged with a broad array of innovators and well-regarded financial institutions to identify and evaluate opportunities in the digital assets arena, accompanying -- going along with a significant amount of knowledge gained and experience along the way. We are subadvisor for the Superstate Short Duration U.S. Government Securities Fund, a private tokenized fund that has assets of about $425 million. It was also recently announced that Federated Hermes will participate in the launch of a collaborative initiative between Bank of New York and Goldman Sachs that will use blockchain technology to maintain a record of their customers' ownership of select money market funds. This is a significant step towards enhancing the utility and transferability of the existing money market fund shares. Our participation highlights our commitment to the digital asset space where we expect ongoing innovation and growth. Our estimate of money market mutual fund market share, including sub-advised funds was about 7.11% at the end of the second quarter, up slightly from about 7.10% at the end of the first quarter. Now looking at recent asset totals as of the last few days. Managed assets were approximately $854 billion, including $642 billion in money markets, $91 billion in equities, $98 billion in fixed income, $20 billion in alternative private markets, $3 billion in multi-asset. Money market mutual fund assets were $476 billion. Tom?
Thomas Robert Donahue: Thanks, Chris. Total revenue for Q2 increased slightly from the prior quarter due mainly to higher revenue from more days in the quarter and revenue related to the Rivington acquisition, which were partially offset by lower revenue from performance fees and carried interest. Total Q2 carried interest and performance fees were $1.4 million compared to $5.9 million last quarter, approximately $829,000 of these Q2 fees were offset by nearly the same amount of compensation expense. Q2 operating expenses increased from the prior quarter due mainly to the $12.9 million VAT refund in Q1. In the other expense line item, FX and related expense was a credit of $5.8 million for Q2 compared to a credit of $5.6 million in Q1 as the pound strengthened against the dollar again. We have lowered the notional amount of our foreign currency forwards to GBP 31.5 million, down from GBP 86.7 million at the end of Q2. Compensation and related expense increased by $1.6 million from the prior quarter due mainly to higher incentive comp and base pay merit increases of $6.9 million, partially offset by seasonally lower expense for stock-based compensation of $4.7 million and payroll taxes of about $600,000. Advertising and promotion -- promotional expense increased due mainly to the timing of our advertising campaign spend. The Q2 effective tax rate was 26.1%. We expect the rate to be in the 25% to 28% range for 2025. At the end of Q2, cash and investments were $607 million. Cash and investments, excluding the portion attributable to noncontrolling interests were $474 million. During Q, the company purchased approximately 1.5 million shares of its stock for about $64.5 million. The Board of Directors approved a new share repurchase program yesterday for 5 million shares in addition to the 1.1 million shares remaining from the prior program. Ali, that concludes our prepared comments. We'd like to open up the call for questions.
Operator: [Operator Instructions] Our first question is coming from Patrick Davitt with Autonomous Research.
Michael Patrick Davitt: On the back of your stablecoin tokenization comments, I think it would be helpful maybe if you could update us on your broader thoughts around the extent to which you think these products could disintermediate the traditional money fund business? Or do you see it more as incremental to that traditional money fund cash exposure?
John Christopher Donahue: Baseline, we would see it as incremental. New customers, new things. There's not an avalanche of use of these things right now. And don't forget, the basic thing on people with cash is they want daily liquidity at par. They're willing to go with a stablecoin that doesn't pay a yield, but then they also would like a respectable daily yield. And we think that the Goldman-Bank of New York methodology where Goldman creates a platform, Bank of New York is the custody and transfer agent and the money fund sits there, just like it always sat there as a money fund, and yet someone else is taking care of the tokenization. So that from the customer standpoint, it is, in fact, a tokenized money fund. But from the money fund operator standpoint, it's operating a regular 2a-7 money fund in order to provide daily liquidity at par. So this is a very sound strategy. I'm not saying it's the only one that will go into the future. But overall, we think that's a very good one. One of the reasons that people are getting excited about this is because you can get 7/24 activity trade anytime, but you still have to work out some of the mechanics of who gets the dividend. The way our program will work with BNY and Goldman right now is whoever owns the token at the end of the day is going to get the dividend. And this is not as much a tokenized money fund as others have to full tokenized money funds. So our overall view is that you have to play in this space. And we are talking to people, I got a list of them. And there are many of them on there including European players where we're dealing with all the ideas of innovation. I can't go through all of them with you. The one with the Bank of New York and Goldman, obviously, has been made public as has -- have Superstate.
Deborah Ann Cunningham: Superstate.
John Christopher Donahue: Yes. So Debbie, what would you add to that?
Deborah Ann Cunningham: You covered it very succinctly. The only thing I'd add is, right now, we think this is the tip of the iceberg, Patrick. This is, for our current products that are on this platform, a different way to distribute. So we distribute through various types of intermediaries through states, through insurers, through broker-dealers, through banks. We distribute directly this is another way of distributing our product, and in the process, turning it into a ledger product that has better transferability than a typical money market fund share does. So we think it's a very clever and new way to be able to distribute product. And as Chris mentioned, there's lots of innovation that we think can happen that provide additional bells and whistles to why this is a product that will take over, to some degree, the future. But that's not what is in existence today. What is in existence today is a traditional money fund being distributed to a different group of clients, particularly from a collateralization standpoint. So money funds. Stablecoins you mentioned, they need to be backed by something. They need to be backed by treasury bills or money funds containing those treasury bills. That's what the GENIUS Act is all about. Money funds will provide that collateral, and we will provide it on chain so that the ease of use is basically seamless. But lots of innovation to come as it exists today, distribution changes that are beneficial.
Michael Patrick Davitt: Great. And just as a quick follow-up, Debbie. I feel like we've been talking about this for a couple of years now, but as we get closer to likely Fed cuts, are you starting to see any more institutions come in to talk to you about this long-awaited rotation into money funds that we've been talking about for a while now?
Deborah Ann Cunningham: It's been alive and well, Patrick, through all of -- from the second half of 2024 and all of 2025 year-to-date, so for the last year. But it's not really started in earnest because what we saw in Fed rate cuts at the end of 2024 didn't materialize into anything yet in 2025. So it's one of those "wait till you see the whites of their eyes" sort of thing, I think, as far as volume goes. But we were basically flat on a money fund asset basis for the second quarter, which had really 2 different aspects to it. The first month, April, was very much personal tax outflows, so huge personal taxes; and from an institutional side, outflows due to margin calls. If you recall, April 6 was the Liberation Day announcements, tariff announcements, many margin calls that came from institutional accounts. So what we lost in assets in April basically were then needed to be made up in May and June, which they were as we ended up the quarter flat. However, it was definitely a tale of 2 quarters when you look at April compared to May and June. May and June are more confirmation of what we've been saying on the institutional side from a rotation into money funds and out of direct securities whereas April was more based on what the situation was happening from an economic and a fiscal standpoint.
Operator: Our next question is coming from Ken Worthington with JPMorgan.
Kenneth Brooks Worthington: Debbie, how do you see growth in stablecoins impacting the money market fund industry? Our Treasury Secretary suggested $2 trillion of stablecoin assets in coming years. If this target is reached, what does this mean for money markets given the supply of T- Bills that are outstanding today? Does all the math work for money market funds?
Deborah Ann Cunningham: Absolutely, Ken. Sure. The current size of the stablecoin market is about $250 billion, very concentrated in 2 coins, basically. And then the assets that are backing those 2 coins, Tether and Circle are basically in treasury securities. There's some commercial paper in there, but it's mostly treasury securities. So that's all being [ topped ] up very easily right now. What happens with the GENIUS Act is there's now more definition as to what needs to be backing a stablecoin, and it's very short treasuries or treasury-backed repo which ultimately $1 trillion, $2 trillion, it's -- put your finger in the air. I'm not sure where the number goes, but it's somewhere above -- drastically above where it is in the $250 billion market today. What we thankfully have done in addition to the GENIUS Act is pass the debt ceiling renewal that gives us an extra $5 billion in treasury. And ultimately, we've seen a pretty good -- [ coffer's ] had extraordinary measures. Depleted some [ coffers ], which are being replenished at this point, but we also have had an improvement in bill supply, which we do believe will continue. And despite the fact that when the Treasury -- when Treasury went from Janet Yellen to Bessent, there was a pushback on how much short-term debt had been available in the market during the Yellen years with the expectation that Bessent would start to turn that debt out to some degree. That has not been the case, and what they have provided is a pretty nice increase in the bill supply. So we do think there will be extra supply in that 1- to 3-month sector, basically 93-day bill market and under. It will probably make it a little bit more expensive, but that's being offset to some degree by the additional supply that we have. And our expectation would be for the foreseeable future, it is enough to meet the demand of what we're expecting at least at this point from the stablecoin market.
John Christopher Donahue: If I could add, Ken, one of the other features of the GENIUS Act was to not allow stablecoins to pay interest or return. And so the people who ought to be concerned about the $2 trillion going into stablecoins are the ones who have deposit accounts with little or no interest and how does that dynamic exactly work. And so then you see the next level of things where people offer deals where, oh, yes, you own a stablecoin and they'll take a bunch of your money and put it into a money fund, charge you a fee and keep 80% of your money in a money fund, so you get at least some return. And you're seeing those kinds of innovations going on right now. But it's important to note that the stablecoin can't pay a yield.
Kenneth Brooks Worthington: Yes. Fair enough. And then just on MDT, having wild success here with that franchise. How do we think about capacity in some of the MDT Mid and Small Cap products? I don't know what sort of separate account assets are sort of there as well. But how do we think about the capacity for those given the inflows you're seeing?
John Christopher Donahue: Well, at this point, on all of the funds, each of the funds, we don't expect any capacity issues. The methodologies and the ability to buy shares is robust. And so believe me, we're looking at that, too, to see if something is going to poke a hole in our balloon. But at this point, we're not seeing it.
Operator: Our next question is coming from Bill Katz with TD Cowen.
William Raymond Katz: Tom, maybe to start with you. Just given how you've been hedging maybe some of the pound versus the dollar, can you talk a little bit about where you think exit pace is for expenses? Maybe break that down between comp and maybe the noncomp line. Particularly the other line has been sort of negative last few quarters.
Thomas Robert Donahue: Okay, Bill. On the FX, that's why I mentioned in there that we've lowered our notional amount on the hedging. And basically, we're looking at it on a quarterly basis. We had previously looked at it on a yearly basis, and we got the benefit in the first 2 quarters by looking at it on a yearly basis. And so now we only -- our exposure is much less on the pound and has worked out quite well for us. In terms of the compensation line and I would say next quarter, we expect that to be up a couple of million dollars or something like that. Of course, every time I predict that, something happens and we end up paying out more or less. On the distribution line item, with the -- Chris mentioning our assets month-to-date in July being up pretty significantly on the money fund side, we would expect a higher distribution payouts. And then in the beginning of the year, I talked on the systems and communication line about having a pretty decent amount of more dollars per quarter and it's taken us a little bit longer time to get moving on those, and I still see that line going up a couple of million dollars next quarter. And the rest of the line items, I think they just -- I don't see big changes there.
William Raymond Katz: Okay. I'll circle back on the other expense line still. So maybe, Chris, one for you. Just been a lot of M&A in the industry. It seems like the opportunity with your alts business is percolating a little bit, but still so much small in the grand scheme of things. You bought back a lot of stock in the second quarter. You ramped up the authorization as well. How do we think about maybe capital return priorities from here? And is there a way to be a bit more strident on the M&A side to maybe accelerate the opportunity on alts where I think a lot of the incremental growth seems to sit for the industry.
John Christopher Donahue: Bill, we have said this before that the highest and best use of our cash is with doing acquisitions. And we are actively talking about doing various acquisitions, especially in the private markets type space. And until we have something to announce, we don't announce. But remember, the whole history we had before we bought Hermes that from 2012 to 2018, I agree that was 6 years, so that's long. But we were saying all along, we were going to do an international one, and we took a lot of calls and consternation on that not happening for a while. But when we say we're going to do stuff, we do stuff. It just might not be lickety-split. So we continue to look in the space, exactly as you're saying, for acquisitions. But this is not to say that we stop doing -- look at the roll-ups and other things that are attractive. For example, anyone who has a [ more ] bond money fund knows that we are their warm and loving home.
Thomas Robert Donahue: So Bill, back on the other, I don't expect to have a bat and we don't forecast what's going to happen FX. And so if you take those things both out of there, our other line has lots of items in it. And if you look back June 30, 2024, that line was $5 million. And I would say it would be a little higher than that would be our forecast, maybe $6.5 million. But so many things changing there. That's why I don't really like doing what I just did.
Operator: Our next question is coming from Brian Bedell with Deutsche Bank.
Brian Bertram Bedell: Great. Advancing to the next century here. I joined late, so pardon me if you've answered part of this on the tokenization side, but maybe a different angle. To what extent do you see the tokenization of money market funds expanding the overall size of the money market fund industry? How dramatic could that be if it's much easier to hold this in a digital format?
John Christopher Donahue: It is very, very difficult to say what that kind of number would be. We haven't done any numbers on that. Both Debbie and I believe it's incremental to the business. But as with any of these things, especially when you're doing blockchain, you've got a lot of a lot of people on there first in order to have it grow. It's a little bit of a chicken/egg thing. And so everybody is working on it now and there's a lot of excitement and a lot of articles and all of that. But the assets are not yet there. We're ready for when it goes, but it's just hard for us to say. And maybe Debbie has done some research that I'm not aware of on how big that could be, but I don't know...
Deborah Ann Cunningham: No, Chris, exactly. I mean, we think it is an additional provision of distribution and an additional collateral management tool. But the actual estimation of the size of the growth is really -- it's too early to tell at this point.
Brian Bertram Bedell: Yes. And maybe just a follow-on to that. As you think about this industry evolving and also including the reserve management requirements for stablecoin expanding the money market fund industry as well, do you see yourself for that incremental growth in those assets potentially getting a higher market share than your current base? I think that's in the 7% to 8% range. So going forward, would you see yourself as a share gainer on this dynamic given your low cost and obviously long-standing reputation in the industry?
John Christopher Donahue: Well, this business, due in large part to 2 things. Regulation, regulation oligopolizes business and so you only have 10 or 12 players who can actually give clients the idea that they have daily liquidity at par if they have $100 million. . And so new entrants have a very big challenge. Even with the GENIUS Act, where you're going to have to create new funds because they shrunk the average or the maximum maturity of a fund, you've got to have enough of -- a big enough pool of money in order to make the customer believe they're going to get daily liquidity at par. So by that, I would -- we're always striving to get more market share, but I'm not going to say, "Oh, yes, this is a definite thing that's going to happen. " It's a very tight business. It's a very competitive business. And we certainly expect to grow in it and get our fair share and try hard to get that number back up to a higher number than the 7.11% I mentioned.
Operator: Thank you. As we have no further questions on the lines at this time, I would like to hand the call back over to Mr. Hanley for any closing remarks.
Raymond J. Hanley: Okay. Well, thank you for joining us today. That concludes our call.
Operator: Thank you, ladies and gentlemen. This does conclude today's call, and you may disconnect your lines at this time. We thank you for your participation.